Operator: Welcome to the Umicore Half Year 2025 Results Conference Call. My name is Alan, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to your host, Bart Sap, CEO, to begin today's conference. Thank you.
Bart Sap: Hello. A very good morning, everyone, and welcome to the H1 2025 results for Umicore. I do realize that for many of you, it's a very busy season and very busy week. So I highly appreciate for you being here in the call. As usual, we have an interesting agenda for you. On the first point, I wanted to take us back to the core strategy in a first snapshot, so a small reminder of our CMD. Then we'll have a look at our key figures and highlights. I'll cover the business review. Wannes will then go through the financial review. I'll be back with the outlook 2025. We'll wrap it up, and then we'll open the floor for Q&A. So let's have a look at our core strategy, which we launched in March 2025. Now as you might remember, we are building on our core, which is our business model, right? And our business model is more relevant than ever. We are building on our business model with 4 key pillars, key focus domains, with the first one being capital, then we have performance, people and culture and partnerships. So on the capital, it's all about a more midterm balanced capital allocation. So what does that mean? We continue to invest in battery materials but at a lower pace, but we also allocate a significant portion of our future CapEx to our recycling business in Hoboken to further unlock the flow sheet. It means for the midterm plan that we have been reducing our CapEx with EUR 1.4 billion over that '25 to 2028 period, and this versus the previous plan. On performance, as you also see in our numbers, we really focus on increasing our operational efficiency and our overall performance and value extraction across all our activities. The goal for this year is EUR 100 million EBITDA, and we are well on track in H1 to already be halfway with EUR 15 million in the pocket. Now if we look at people and culture, that is all about installing this performance and value-oriented culture and building on the successful cultural shift we had in automotive catalyst. This we now want to bring to the entire group to further unlock that potential that we have with this beautiful company. Partnerships, we continue to actively explore partnerships, especially in the field of our battery material solution activities, while at the same time, we continue to focus also on our solid midterm plan for our battery cathode materials business. Now if we also -- I also would like to highlight, and it's important for -- also for the analyst community out there and anybody who is following Umicore closely, we did update our reporting structure with our new strategy. It means that we have expanded the battery cathode material business group with the battery recycling business that we have put in there. So we now have the business group Battery Materials Solution, and this actually encompasses all battery-related activities. But it means that also from a reporting point of view, we are now restating our numbers for 2024, and we are actually reporting in H1 2025 for the first time in this new reporting structure. So it means that the recycling activities -- battery recycling activities, which used to be reported under the recycling business group has now been moved to the Battery Materials Solutions. So it's important to shift those numbers in order to have a good comparison. Now let me now have a look on the key figures and highlights. Now I would say that we really had an encouraging performance in H1 2025. We have seen a sustained demand and also very good operational efficiency. So we're happy with the set of numbers. Now if we look at our revenues, we came out at EUR 1.8 billion. Our EBITDA for H1, EUR 433 million, well up versus last year, a return on capital of 16.4%. Our leverage remains below 2.5x and at a level of 2.3x and a very solid EBITDA margin of 24.3%, and we are slightly free cash flow negative for the first half. If I look at some of the business group out there, you will see that consistently throughout the business groups, we have good returns on capital. Catalysis, 43.7%; Recycling, 154%. And also in Specialty Materials on the back of a stronger cobalt momentum, we now have a return on capital above 12.5% or at 12.5%, which is in line with our 2028 target. Now we also recently upgraded our guidance for 2025, and we have upped it in that EUR 790 million to EUR 840 million range. We did that at the start of July. Now if I look at the highlights of H1, and I would like to highlight 2 pillars here, basically is capital deployment and capital rigor. Now our capital expenditures have come in, in H1 2025 at EUR 109 million, which is well below the level of H1 2024. And now we foresee for 2025 CapEx projections to be reduced to EUR 350 million. I remind you, last year, we were at EUR 550 million. We were aiming roughly to be 20% lower. So still here, we take another step down in the expected CapEx, reflecting our strict approach in capital allocation, but also in timing our CapEx at the right moment. Now if we look at performance, we did more than EUR 50 million in the first half in efficiency savings, which is a great objective. And as mentioned before, we're aiming for at least EUR 100 million for the year. Now -- if I now go to the next business review, let me start off with the Battery Materials Solutions. Battery Material Solutions for the first half of the year, we see that revenues are somewhat lower. We have an adjusted EBITDA roughly in line with H1 2024. Now for Battery Cathode Materials, which is the first leg within the Battery Materials Solutions business group, we have revenues of about EUR 208 million, which is below H1 2024. We have slightly lower refining volumes and also slightly lower CAM volumes as we anticipated. So our legacy contracts are fading out and new contracts are ramping up. Now the main customers for the ramp-up in 2025 are SK On, ACC and IONWAY. Now SK On, we talk about this contract. It's quite relevant in 2025 from a volume point of view. So this is also an interesting customer that we have showing the diversification of our customer portfolio and our technology position. Now if I look at the adjusted EBITDA for the first half of 2025, it stands at minus EUR 15 million, while for the full year in the outlook, and I'm mentioning here the outlook for battery material -- cathode materials specifically, we are still confident in being around breakeven for the full year. So that would mean that the run rate in the second half of the year would be EUR 15 million positive. So on an annualized basis, EUR 30 million positive EBITDA run rate for the business. For Battery Recycling Solutions, we see lower spending in H1 2024. And the majority of our spending is really on further optimizing and preparing ourselves on that flow sheet and technical capabilities of this really unique pyrometallurgical process that we have. So on the technology front, we also have a small yet significant update for you. That is that now you have seen that BMW and Solid Power have brought an all-solid-state battery vehicle to the market. And we can share with you that actually this is Umicore cathode material insight. So it means and it reconfirms and that's also what we see across the board that our solid-state battery cathode material technology is really well received. So we're very proud that also we now have this real test car on the road together with BMW and Solid Power. Let me now transit to Catalysis. Now if we look to the overall ICE passenger car production for the year, we see a slight decline of H1 '24 versus H1 2025. So we go down from 38.3 million to 37.5 million. This means a contraction of the market of 1.7%. It's a different picture throughout the world like China, slight growth; North America, minus 6%; Europe, minus 9%, but South America, 8.7%. While we had a slow underperformance in the Chinese market, so a marginal underperformance there. We did strongly outperform the market in North America, in Europe and especially South America. And in South America, it has to do with the introduction of PL8, where we acquired a broader customer base. There's a step-up in legislation, so it's an additional brick and also actually a higher PGM loading. So we're pretty happy with that. In the HDD, we see that the market was a bit softer in Europe, while in China, the market recovered. So then looking at the underlying numbers. So once more, a strong performance with good volume and also a really great quality of earnings. Now if you look at Automotive Catalysts, revenues in line with H1 2024 and earnings as well. So that means we continue to offset, let's say, and improve our quality of earnings, and we continue to offset the historical PGM price decline we have seen. So if I would take you back to 2021 at the bottom right of the slide, we would have had an H1 performance of EUR 240 million at much higher PGM prices versus today, where we are now posting a EUR 222 million EBITDA at significantly lower PGM prices. So it's clear that our quality of earnings is improving and also our average EBITDA margin has been trending up over the last years. Now if we look at Precious Metals Chemistry, there we have higher revenues in our inorganic chemicals, and this more than offsets a somewhat weaker volume development in our homogeneous catalyst business. Fuel Cells & Stationary Catalysts also quite interesting evolutions, both in fuel cells and stationary catalysts, our volumes and revenues are up. In the stationary catalyst business, interesting evolution, as you know, is on that backup -- these backup generators for data centers. There, we also have a very interesting business, and we see quite some volume growth in that segment. If we then look at the construction of our fuel cell catalyst plant in China, well on track, really also from a capital point, well managed and still to be expected commissioning in early 2026 as communicated earlier. So let's have a look at Recycling. So recycling, of course, when we talk about recycling, we have to talk about metal prices, and we have seen that rhodium, gold, platinum, silver, right? These levels -- price levels that we have seen in euros, right, because the dollar significantly depreciated versus the euro lately. But in euro, we see stronger prices than before. A reminder is that we are well hedged for our PGM exposure in H1, but also in H2 and that we were complemented by a supportive minor and specialty metal price environment to which exposure is not hedged. And Wannes will come back to you later on, on this PGM hedge evolution. Now let's go to the second slide for this section. So a deep dive more in the numbers. Also here, I dare to say that it's a really solid performance with a strong adjusted EBITDA in line with H1 2024. In the precious metals refining activities, our revenues were close to H1 2024. We have seen higher volumes, yet slightly less favorable supply conditions. What do I mean by this? We see the [ SAC ] market still moving more in the same range as we have seen it before. The spend industrial catalyst, there's a weaker chemical segment out there. So there's some softness there. And also with the flooding in South Africa, some complex refinery feed did not -- well, was lower than before as anticipated, but we see that recovering better in the second half of the year. Now as the earnings are somewhat lower than H1 2024 for precious metals refining, this is really reflecting the decreasing average hedge price level. And as well, of course, we have had some inflation, which is always there, yet we were able to partially offset this inflation increase by operational efficiencies. In the Jewelry & Industrial metals, we have higher revenues against H1 2024. We see good volumes, strong contribution from the refining and recycling activities, but also really a strong product demand for our products for the luxury end markets. Precious Metals Management, we have seen PGM volatility and precious metals volatility in general. And of course, volatility means a beneficial and favorable trading environment, and there also the momentum was strong. Here again, EBITDA margin still well above 41%. So also here, pretty happy with our performance. Now of course, as you know, for Umicore, we do add a lot of value to sustainability, meaning that we continue to invest in sustainability improvements of our facilities and the surroundings. What does this mean? It means that we were able to continue the building of that perimeter and the green zone. It's almost finalized now. And yet on top, we continue to invest an annual EUR 25 million to further improve our environmental performance because we continue to raise the bar and are committed to remaining the world's most efficient and environmentally friendly refined. For us, business and the statement go hand-in-hand, and that protects the long-term potential of this activity. Let me now transit to Specialty Materials. So Specialty Materials, we had a strong H1 for this business. EBITDA up 35%, higher margins in the cobalt product segment, yet also here again, operational efficiency improvement. And you see operational efficiency, focusing on that value and capital discipline, it runs throughout the organization. And that's why, yes, we almost have to come back to it because you really see that reflection in our numbers. Now in Cobalt & Specialty Materials, revenues were somewhat lower. At the same time, higher margins for the cobalt products, as mentioned, but also here again, those efficiency measures. In Metal Deposition Solution, it was all about a solid demand for a decorative application, a solid demand in semiconductor, somewhat offsetting lower revenues in the electronics segment. In the Electro-Optic Materials business units, we had good demand for our high-purity germanium crystals, and we continue to see a strong demand for our germanium refining and recycling services. So you know that also there, the geopolitics play and having that in-house recycling capability is also really a differentiator for this business. So EBITDA margin now, again, above the 20%. So we have in 21%, close to 22%. So also here, a good step-up in performance. Now we have seen how the world around us is evolving. We see that metals or resources are often used to play out the political game or actually used to actually put some tension between different blocks in the world. And it means that also for Umicore, the fact that we are active in so many metals and so many of these core or critical metals is really a differentiator, especially as we also have a footprint not only in China, but especially also in Europe. And this you clearly see here on this slide. At Umicore, we are active in 17 out of the 34 critical raw materials. So this on the refining side, at the same time, also for some of these products on the material side. So you can understand as that more critical raw material independence or more balanced dependency becomes more important, you can see that this is a very interesting future under current for our organization. Now with that, Wannes, maybe you can have a look at the financials a bit from a closer by.
Wannes Peferoen: Yes. Thank you, Bart, and good morning, everyone. So as Bart mentioned, over the past 6 months, we continued our disciplined approach to cost and capital allocation. Our results were boosted by group-wide operational efficiencies, together with solid activity levels in Catalysis, Recycling and Specialty Materials. The group EBITDA margin increased from 22% to 24%. Adjusted EBITDA was up 10% or EUR 40 million and amounted to EUR 433 million for the first half of the year. The efficiency measures supported the earnings with more than EUR 50 million from initiatives across the foundation businesses, Battery Material Solutions as well as the Corporate segment. And I will come back with insights on the key drivers later in this presentation. The increased activity levels, as Bart mentioned, in Catalysis, in Recycling and in Specialty Materials resulted in an EBITDA uplift of almost EUR 40 million. These uplifts allowed to compensate for the EUR 53 million headwind from inflation and foreign exchange, with the ForEx impact being largely linked to the translational effect for non-euro subsidiaries. In the first half, the reduction of favorable price levels for precious metal hedges was almost fully compensated by improved prices for non-hedged precious miner and specialty metals. So let me provide you more insight into our efficiency program. Savings are well on track with a year-to-date contribution of EUR 55 million versus a full year target of EUR 100 million. Now looking at the breakdown of the savings, 25% of the uplift in EBITDA came from top line growth, 15% from reduced cost of goods sold, 40% from SG&A and around 20% from savings in R&D. The restructuring of group corporate functions as well as the streamlining of corporate R&D, which we announced end of last year, was implemented ahead of plan this year. In Catalysis, the R&D footprint was further optimized with the consolidation of the research center for heavy-duty diesel in Germany. And in Battery Materials, SG&A was structurally reduced. Now turning to the consolidated P&L. The net results group share was EUR 137 million. The depreciation and amortizations decreased to EUR 131 million following the impairment in Battery Materials in June last year. Adjusted EBIT was EUR 302 million, up EUR 61 million. Adjusted net finance costs increased to EUR 102 million due to a higher average net debt, lower interest income on cash deposits, as the interest rates came down, together with a negative impact from ForEx. The average cost of gross debt amounts to 3.2% and was stable versus previous year, thanks to long maturities and over 80% of debt being fixed rate. The adjusted tax charge amounted to EUR 64 million, stable versus last year. The pretax income was up, but the adjusted effective tax rate decreased from 36% to 32% this year. And this resulted in an adjusted net profit group share of EUR 135 million. The adjusted earnings per share were up 16% to EUR 0.56. Moving to the consolidated balance sheet. The liquidity of the group remains strong with a cash position of EUR 1.1 billion. Gross financial debt decreased from EUR 3.4 billion to EUR 2.9 billion after the repayment of the EUR 500 million convertible bond in June. And the equity for the group amounted to EUR 2.02 billion. Net financial debt was EUR 1.9 billion, and the net gearing ratio landed at 47.6%. Now let me provide more insights on our net financial debt position based on the net cash flow bridge. Cash flow from operations amounted to EUR 260 million. Net working capital increased with EUR 197 million, reflecting the higher activity levels in Catalysis, Recycling and Specialty Materials. CapEx, including capitalized development expenses, decreased to EUR 117 million. We apply a maximum control on the phasing of CapEx and spending will be more weighted in the second half of the year. So CapEx, excluding capitalized development expenses for '25, is now anticipated to be around EUR 350 million versus the initially foreseen, let's say, EUR 440 million. This results in a free cash flow from operations of minus EUR 54 million. Taking into account a contribution of EUR 250 million into -- of equity into IONWAY in January and cash out related to taxes financing dividends and other items of EUR 99 million, this resulted in a net financial debt increase of EUR 404 million and a net debt of EUR 1.8 billion for the group. This is in line with what we anticipated for. And as a result, the leverage ratio increased to 2.28x last 12 months adjusted EBITDA. And here, I want to repeat that, as mentioned during our Capital Markets Day, leverage will peak during '25 and '26. We anticipate leverage to turn below 2x from '27 onwards following the strong cash flow generation in the group and with the finalization of the investment in battery cathode materials. Now moving to the next slide. I would like to remind you that for '25 to '28, a substantial portion of the future strategic metal exposure has been locked in through forward contracts. And with this strategic hedging policy, we aim to protect future earnings from price volatility while ensuring we also do not overhedge our anticipated exposure. Over the past 6 months, our hedged position remained largely stable. We have increased forward metal hedges for silver in '29, and we are in the midst of executing additional mandates for '29 for rhodium. So as a conclusion, we are putting a strong focus on those things that we can control, costs, cash and capital. EBITDA improved and is up EUR 40 million, driven by a solid underlying performance and supported by over EUR 50 million in efficiency measures. Capital expenditures were reduced to EUR 109 million, and we expect full year CapEx to be around EUR 350 million. And we continue to keep tight control over net debt and leverage, and we expect to keep the leverage below the 2.5x adjusted EBITDA. And here, I would like to hand it back to Bart for the outlook.
Bart Sap: Yes. Thank you, Wannes. Very clear. Now let's have a look at the outlook and the outlook we communicated already early June, of course. And it's anticipated that we indeed will be in that EUR 790 million to EUR 850 million EBITDA range. So there's no change there today versus what we announced earlier. So just wrapping it up before we go to Q&A. Yes. So I really dare to say that H1 was -- we really had encouraging results and a solid performance. So it was driven by a sustained demand and also really strong operational efficiencies, and there was also somewhat a supportive metal price environment. So it's 3 elements: operational efficiency, sustained demand and a supportive metal price environment. Now if we look at H1, there was a strong performance in our foundation business, while we start to see indeed that gradual ramp-up in our battery cathode materials contracts. So with that, I think, once more an encouraging H1, a good guidance for the second half of the year or at least the full year, right? And with this, I would like to open the floor for Q&A.
Operator: [Operator Instructions] We will take our first question from Ranulf Orr, Citi.
Ranulf Orr: Just one from me, please. I think you mentioned that the metal price impact, including hedges at the group level was just minus EUR 1 million. But I was wondering, could you please break this down or give some more color by division, just to help us better understand the underlying earnings development? That would be great. Yes.
Wannes Peferoen: So looking at the metal price effect, you're right. I mean, year-over-year, the uplift is minimal. As you know, and as we also highlighted, we have the precious metal hedges, and those are favorable versus today's rate. At the same time, the contribution is rolling off this year and will continue to roll off also going into next year. So if you look at the first half, this is where the roll-off resulted in year-over-year lower contribution, and I would say, low double-digit type of a contribution from those favorable hedges year-over-year. And that has been offset by a more favorable environment, looking at the precious metals, gold, thinking of business like jewelry and industrial metals, but also looking at minor and special metals. And again, this is where it lands in the Recycling segment. So primarily in the Recycling segment is where we see those movements.
Ranulf Orr: Okay. So there's no metal price impact coming through in specialty materials in the cobalt and specialty part of the business?
Wannes Peferoen: Yes. So looking at the Specialty Materials business, indeed, here, we see a solid price level of germanium. For cobalt, we also have seen a hiccup in the price, and this has resulted in somewhat stronger margins, I would say, in those segments. That's correct.
Operator: We will take our next question from Thea Badaro from BNP Paribas.
Thea Mary Badaro: Two questions from me, if I may. The first one is on the Catalyst division. I'm conscious you've had a pretty strong first H1 with record profitability reached. But I was wondering if this is all underlying or if there was a specific one-off somewhere, maybe a new contract that has kicked in? And maybe as a follow-up, how should we think about profitability levels going into H2 and beyond? My second question would then be on the efficiency measures. Can you maybe give us more color on the short-term levers you're taking actions on?
Bart Sap: Yes. So maybe let me take the first question first and maybe Wannes to start with the second one, and I might chip in if I would like to add some more color. So on the first one, indeed, we had a very strong H1. And I would also like to remind all of you that we took a bit more a cautious approach in H1 versus the overall market forecast initially. Yes, demand remained solid. So that was also good news for us. And if you talk about customer wins, I would mainly refer to South America, where PL8 or the L8, if we really focus on that light-duty segment, has kicked in, right? So there, we see volume growth with indeed a better customer positioning and additional brick and higher PGMs. So I would say that if you look at the market in South Africa grew roughly 9%, our growth was well north of 30% in that segment. So yes, there was some elements, but it was mainly across the board, the strong underlying performance of the market from a demand point of view. If we look at H2, there we see the classical seasonality. And there we also have taken again a realistic approach what demand could be for that second half. And we see that for the time being trending in line with our expectations. So Wannes, if you could comment on the efficiencies?
Wannes Peferoen: Yes. So looking at the levers for efficiencies, I mean, the one that we pulled was over the last -- in the first half basically were those linked to the restructuring and to the consolidation of footprint. So looking at SG&A and R&D., so those have been implemented. The levers that we continue to pull is looking at the top line, looking at pricing, but also get operational efficiencies. So looking at the plants, looking at the operations, improving yields, reducing waste basically, improving quality. And those are elements that we continue to drive. So if you look at the full year, normally, if all runs according to plan, you will see that the proportion of contribution from top line and cost of goods sold will increase versus the overhead, I would say.
Bart Sap: Yes. And maybe adding another additional metric just to give some flavor and some substance is that, as you know, we announced, let's say, restructuring in November last year, where we had indeed, let's say, 200-plus people directly impacted. Now if we -- that was, of course, a very painful situation. Now at the same time, we are still very diligent in our workforce development. And year-over- year, I think, we're now 6% down. And on top, we had a significant reduction in contingent workforce, which we're also, I would say, estimating here a bit between 1% and 2% of the workforce equivalent. So yes, we have been very disciplined, and we will continue to do so. Of course, with the ramp-up of battery materials, as volumes start to grow, you will see, of course, more hands coming in to deliver those volumes.
Operator: We will take our next question from Chetan Udeshi, JPMorgan.
Chetan Udeshi: First question I had was, I was just looking at the presentation slide on Catalyst business. And when you are saying revenue and earnings in catalyst, automotive catalyst is flat. It seems all of the growth is coming from the other 2 smaller divisions, especially precious metal chemistry. Can you remind us what's going on in that business and how much sticky that growth in Precious Metals Chemistry business might be? The second question was just looking at the guidance, you're talking about moderation in recycling earnings, if I understood that correctly, in H2 versus H1. And is that based on an assumed price decline for some of the unhedged metals from current levels? Or is this assuming that you have another leg down from hedging activity sort of reducing your effective prices for the metals that you hedge? And the last question is you talked about the strategic importance of Umicore's recycling business in the context of geopolitics. I'm just curious, you do use rare earths in your automotive catalyst. I think they are part of the washcoats. Do you have any trouble sourcing some of these materials now in the context of geopolitical environment? Or you are well diversified from that point of view?
Bart Sap: Yes. So Wannes will take 1 and 2, and I'll take 3 on the rare earth question.
Wannes Peferoen: Yes, sure. So looking at Catalysis, I mean, your conclusion is right. I mean, looking at automotive catalysts, this is where the underlying market has been shrinking year-over-year, where we have been able to keep our revenues and volumes flat -- slight increase to flat. So the growth is indeed coming from fuel cells, stationary catalysts and PMC. If you look at fuel cells, this is where the sales, and particularly in Korea for fuel cells has picked up in the first half. If you look at stationary catalysts, this is, as Bart mentioned, catalysts that are used in also power solutions -- power grid solutions and that also resulted in an increase. And then PMC, also there in some of those end markets, we had a solid activity. We had increase in volumes. Now looking at recycling and the profile of recycling. So looking at H2, this is where we will have a continued roll-off of those favorable hedges and that also comes into play, as we can call it a type of seasonality if you look at the profile of H2. And maybe for rare earths, Bart?
Bart Sap: Yes, yes, absolutely. So indeed, that's right, Chetan. Indeed, there's rare earths in our washcoats solution, more rare earth oxide solutions that we, of course, introduced there. And indeed, China has put up some restrictions on export on some of these elements. At the same time, I would like to highlight that the catalytic applications are not under that ban. Now this being said, we have seen, of course, that the queues and customs have been longer. Now we are not only sourcing from China, we have a diverse supply chain. And so far, we have not had any issue, let's say, in getting material through our active management on stocks and our diversified supply chain. On top, if customers would desire, we even have solutions not including some of these rare earths from China. So, so far, things look to be okay.
Chetan Udeshi: But you don't source the rare earths yourself, right? You are buying the oxide from Solvay or some of the other suppliers. So I guess you are less directly involved from that point of view, I suppose?
Bart Sap: We do source indeed rare earth oxides. That's right.
Operator: We will take our next question from Sebastian Bray, Berenberg.
Sebastian Christian Bray: Two, please. The first is on the balance of price downs or pricing changes in hedges for recycling and current metal spot prices. If I were to take the Umicore book for '26, which is largely hedged and current metal spot prices, would the group-wide impact on EBIT [indiscernible] neutral or negative if things continue as they are? My second question is on the ACC contract with Stellantis. There was some chatter last year about Stellantis stepping away from NMC as a technology and increasing the role of LFP in its portfolio. Do you have any indications if the customer is going to drop to the minimum end of volumes under these contracts?
Bart Sap: Okay. Wannes, you go for the first?
Wannes Peferoen: Yes. Sebastian, so looking at the evolution of the prices for the hedged metals going into '26, this is basically where indeed that supportive -- that support rolls off and where we would say that the effect versus today's metal prices is more neutral.
Bart Sap: Yes. And on the ACC Stellantis question, indeed, I think Stellantis made some statements on LFP. Initially, ACC was going to build 3 plants. Ultimately, they -- so far, they only built 2 blocks of capacity in France, right? So these installations are actually progressing well according to the customer. I mean that's happening. These are pure NMC blocks, but it's true that, let's say, the NMC potential of ACC as a whole for the time being is somewhat lower. Now as you well know, we have the take-or-pay provisions in these contracts. At the same time, we continue also to work on customer diversification as per mentioning in our Capital Markets Day in March. So I would say the situation has not changed versus the latest comments we had in March. Yes, therefore, there's no reason for us to change our outlook into 2028 as presented.
Sebastian Christian Bray: To clarify on the first question, the neutral metals pricing effect is current spot prices plus hedges or it's just no changes in hedging prices for '26 compared to '25?
Wannes Peferoen: Yes. So if you look at '26, I mean, a significant portion of the exposure is hedged. If you look at those prices, on average, I would say, versus today's metal prices, there is a neutral effect. So on the one hand, there are some prices that are elevated versus today's prices. On the other hand, there's elements, metals where the prices are below today's prices. If you think about silver and gold, this is where prices have come up substantially, and this is where the hedge rates are somewhat lower. On the other hand, we have PGMs where the hedge rates are still higher than today's rates. So overall, this is where we see a more neutral effect versus the average price levels, I would say, in '26.
Operator: We will take our next question from Georgina Fraser, Goldman Sachs.
Georgina Fraser: I've got 2 questions. The first one is just on your guidance. Given that you now have these hedging policies in place in precious metals as well as take-or-pay contracts, can you talk about how much visibility that you have on your earnings trajectory in the second half and where you're currently tracking versus the full year guidance you've given? And the second one is on geopolitical risks and there's so many changes all the time from the U.S. administration that I might have misunderstood something. But I was thinking about the case of aluminum at the moment where there are tariffs on the base metal, but not on aluminum scrap, meaning that there's an incentive for scrap to go to the U.S. to be smelted and use that. Is -- how does Umicore think about those types of risks? Are you seeing anything in the metals that are important to you? And can you remind us what the competitive landscape looks like? Does the U.S. have capabilities to recycle metals the same way that Umicore does?
Wannes Peferoen: Georgina, maybe I can take the first question. So we're operating in a volatile environment. At the same time, having some of those -- I mean, a substantial portion of the exposure locked in, having those take-or-pay mechanisms that gives us also solid confidence looking at the range that we have put out as a guidance. And maybe on the geopolitical, Bart?
Bart Sap: Yes, for sure. Now -- well, it's fair to say, Georgina, indeed, it's quite a roller coaster of announcements these days in the markets. And let me also remind that the direct impact of tariffs for Umicore, as we see it today is really not material. It could always be an indirect impact in the overall economy evolution, of course, but that's more difficult to estimate. Now to your specific question on the impact on PMR, I would like to say that, first of all, the U.S. is not a big market for us to -- where we source raw materials and also another market where actually we see a big inflow of some of the materials that we refine in Europe. So as we see the situation today, we don't expect a major competitive change in landscape by the measures taken by the U.S. What China is doing at this moment in time is more relevant, especially for the specialty metals that have this more positive under current, I would say.
Operator: We will take our next question from Geoff Haire, UBS.
Geoffrey Robert Haire: I was wondering if I could ask some questions around metal pricing. First of all, in terms of the outlook that you've got for the second half, are you assuming that the benefit of higher metal prices was in the trading business within recycling will continue into the second half? And then secondly, I was wondering on the metal hedge split of minus EUR 1 million, which run off after, could you actually split out what the benefit was from hedges versus movements in spot prices? I think that would be really helpful just to understand that movement. And I may completely misunderstand what hedging is about, but given the platinum prices have moved up significantly in the last sort of couple of months, when will you start to see that benefit of those -- of that spot price come through into your P&L through the hedging? By the looks of things looking at the charts that you provided, it could be another 2 years before you see that price coming into your business. Is that right? Or am I completely wrong?
Wannes Peferoen: Okay. Just thinking of the different questions and where to start. So looking at the outlook, this is where indeed, we expect some volatility in the market and hence, also in metal trading, this is also what we anticipate in the guidance that we give. If you look at the year-over-year comparison, where we want to highlight what are now the key drivers of the uplift in EBITDA. This is where we illustrate that the metal price environment by itself has not necessarily resulted in an uplift year-over-year. But if you decompose it and you look at, on the one hand, we have exposure that has been hedged in the past where the metal price levels have been fixed. This is where year-over-year, the average level of metal price on that exposure comes down. So there's less support on those hedges from a price level. On the other hand, we have exposure that has not been hedged, which we call open exposure. And this is where you benefit from the spot price movements. And this offsets basically what we lose because of those average hedge price levels being lower year-over-year. So this is where we see that offsetting effect. And on top of that, also looking at some of the special and minor metals also here, we see a price uplift in the overall environment. And also here, we benefit. So that's an element that offsets that roll-off of those favorable hedges. Now coming back to your question where you say PGM prices are again getting an uplift, when do we see that effect? That effect is, as I explained earlier, already today to the open exposure and where we sell that exposure at spot prices. But also to an extent, if we continue to hedge forward the future strategic exposure, that's where we can also start benefiting. But again, between '25 and '28, we already decently hedged. So we're not necessarily increasing much. But for '29, for instance, this is where we see opportunities to lock in that exposure at today's price levels. I hope that is helpful, Geoff?
Geoffrey Robert Haire: Thank you.
Operator: We will take our next question from Tristan Lamotte, Deutsche Bank.
Tristan Lamotte: The first is maybe coming back to precious metals. There's a good bridge you provided in the slides, which shows that your EBITDA is up EUR 40 million or 10% versus the prior year. And you're saying metal prices are neutral, efficiency savings are offset by inflation. So I'm just wondering if you could maybe talk through what has changed to drive that large increase year-on-year? And in particular, in recycling, recycling is up EUR 40 million year-on-year. So maybe you can outline how much of that is PMM? Or what else has changed to lead to that significant increase? I'll stop there and then continue with the other questions.
Wannes Peferoen: Yes. Tristan, I'm just reflecting on your statement where recycling is up EUR 40 million. I don't know where...
Tristan Lamotte: In EBITDA.
Wannes Peferoen: I'm just trying to see what you referred to.
Bart Sap: Anyway, maybe you can explain the underlying drivers of the recycling business, Wannes, and the different business units because that's a...
Tristan Lamotte: I guess -- yes, the key question is cost efficiencies are offset by inflation and the metal price is neutral, but you have an increase year- on-year. So what's the underlying driver?
Wannes Peferoen: So basically, recycling, what we have is last year in the precious metals refining activity, this is where we had maintenance shutdown, which we don't have in '25. So that is driving up the volumes that we process in precious metals refining. At the same time, as Bart explained, there was a somewhat less favorable mix, and that is somewhat offsetting that volume increase. At the same time in the recycling, what is also positive is a strong support, is looking at jewelry and industrial metals, where we have the current high gold prices, and that is driving that recycling and refining business. So the over-the-counter type of scrap that comes in, and that's driving that volume and the margin that we generate. And next to that, we have the metals management, the trading business, where the volatility on the PMs and the PGMs also contribute strongly.
Tristan Lamotte: Got it. That's helpful. And then maybe second, I'm just wondering about your FX exposure. Some of your peers give a sensitivity to changes to $0.01 in the USD-euro rate. So could you maybe give us some kind of indication there on how that works for you and how hedging impacts there as well?
Wannes Peferoen: Yes. So looking at the magnitude of the ForEx impact, I mean, we highlighted there is a headwind of more than EUR 50 million. Over half, majority of that comes from inflation, but there's an element related to ForEx. Now very concrete for '25, this is where we have hedged quite a bit of the exposure against the dollar, but also other currencies. So we are less impacted by the volatility, by the fluctuations in ForEx. At the same time, we have subsidiaries that are recorded in different currencies at euro and where the results get translated into our results upon consolidation. And this is primarily the impact that we are seeing in the ForEx effect.
Operator: We will take our final question from Stijn Demeester, ING.
Stijn Demeester: Also 2, if I may. First, can you comment on the size, duration and the nature of the newly disclosed contract with SK On? It seems to be a driver for sequentially higher cathode volumes in the second half, yet it doesn't alter the guidance. Does this suggest that the ramp-up of your take-or-pay contracts is slower than previously assumed? And secondly, maybe related in a recent press article, Volkswagen Brand CEO, Thomas Schäfer, suggested to lean more on LFP for its entire lineup, starting with the ID.2 up until the ID.7 in a bit to lower costs. How should we interpret this announcement? Does it some way alter your road map with IONWAY?
Bart Sap: Very clear. So first of all, on the SK contract, you should not see it on top of the trajectory that we have given in the CMD and the CMD, we really focused, let's say, on that 2028 road map, where it was included, let's say, in those numbers. This being said, in 2025, we see that ramp-up of IONWAY as well as ACC in our numbers as well. Volumes are still more modest, but that's what the ramp-up also significantly means. Now there's a good probability that the SK contract will also flow over in 2026. And to your question on Volkswagen in general, as you might remember, we have included 2 waves out of the 164 gigawatts or 70 gigawatt equivalent in our midterm plan. These waves are still confirmed and are underpinned by solid contracts. So that's not changing anything to the equation versus what we communicated in March.
Stijn Demeester: Understood. Is it a sizable contract with SK On?
Bart Sap: Well, I mean, it's one of the drivers of the 2025 volumes. And if you look at the volumes that we have, indeed, with the current volumes that we have, it's a significant contract, yes.
Operator: Now...
Bart Sap: So sorry, I cut your queue. So as this was the last question, yes, maybe a small wrap-up. So everybody, once more, thank you for being there. I know it's a busy season. Some of you will see back, I believe, next week on Monday and the days after. So looking forward to our exchange. And in the meantime, wishing you all a wonderful rest of the day and weekend. Talk to you soon. Thank you. Bye-bye.
Wannes Peferoen: Bye.
Operator: Thank you for joining today's call. You may now disconnect.